Operator: Good afternoon, ladies and gentlemen. Thank you for standing by, and welcome to PTC's 2023 Fourth Quarter Conference Call. [Operator Instructions] Following the presentation, the conference will be open for questions.  I would now like to turn the call over to Matt Shimao, PTC's Head of Investor Relations. Please go ahead. 
Matt Shimao : Good afternoon. Thank you, Danica, and welcome to PTC's 2023 fourth quarter conference call. On the call today are Jim Heppelmann, CEO; Neil Barua, CEO-elect; and Kristian Talvitie, CFO. Today's conference call is being broadcast live through an audio webcast, and a replay of the call will be available later today at www.ptc.com.  During this call, PTC will make forward-looking statements including guidance as to future operating results. Because such statements deal with future events, actual results may differ materially from those projected in the forward-looking statements. Additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements can be found in PTC's annual report on Form 10-K, Form 10-Q and other filings with the U.S. Securities and Exchange Commission as well as in today's press release.  The forward-looking statements, including guidance provided during this call are valid only as of today's date, November 1, 2023, and PTC assumes no obligation to update these forward-looking statements. During the call, PTC will discuss non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures can be found in today's press release made available on our website.  With that, I'd like to turn the call over to PTC's CEO, Jim Heppelmann. 
Jim Heppelmann : Thanks, Matt. Good afternoon, everyone, and thank you for joining us. As usual, I will focus on constant currency results when discussing top line metrics, and Kristian will cover currency effects later in the call. I'm pleased to report that in the fourth quarter, PTC, again delivered solid financial results in terms of ARR and free cash flow, which are the most important metrics to assess the performance of our business.  Reflecting on the full year, which will be my last year in the CEO seat, fiscal '23 has been one of PTC's best years ever. Despite a challenging economy, we delivered a seventh consecutive year of double-digit top line growth with ARR growing 23%, 13% organically and revenue crossing the $2 billion threshold. And on the bottom line, we delivered 41% growth in free cash flow. This performance is a great stepping off point for me as I hand the reins of the company to Neil Barua going forward.  Given the CEO transition that's actively underway, during this call, I'll focus my comments on Q4 and fiscal '23 and let Neil take the lead on forward-looking commentary. Coming back to the Q4 results and turning to Slide 4. Though the manufacturing PMIs have indicated a sluggish global environment for many quarters now, our top line ARR continues to show good resilience. In Q4, we saw a broad-based ARR strength across our product groups and geographies. Our churn remained low. And for the full year, we did better than the churn targets we had shared previously. Customer demand was solid in Q4, up overall and on an organic basis, in line with the exceptional results we delivered in Q4 last year.  Within this context, the portion of business that we signed in Q4, but that did not start in Q4 or fiscal '23 was greater than we had modeled. Since ARR only kicks in when the subscription starts, Q4 ARR was $8 million lower than we had modeled, while deferred ARR is consequently $8 million higher. With this influx, our total deferred ARR is now $20 million higher than it was at the beginning of fiscal '23. Kristian will explain that because of this added strength in deferred ARR, we are now guiding ARR to grow 11% to 14% in fiscal '24, higher than the 10% to 14% growth range we discussed previously.  Moving to Slide 5 and switching to our bottom line view. We delivered $44 million of free cash flow in Q4, ahead of our guidance and up 52% year-over-year. For the full year, our free cash flow was $587 million, ahead of our guidance and up 41% year-over-year. Remember that ARR is the primary driver of cash flow. So this robust result was driven by a combination of strong ARR growth and higher operating efficiency. In fiscal '23, we delivered 38% operating efficiency which was 620 basis points higher than fiscal '22, well above our initial target that call for approximately 450 basis points of improvement in operating efficiency. We expect these operating efficiency improvements to be sustainable, and we think our subscription business model will continue to provide us with operating leverage.  Turning to Slide 6. Let's look at ARR growth by geography. ARR growth in the Americas was 25%. In Europe, ARR growth was 24%, and in APAC, ARR growth was 18%. Regionally, compared to a quarter ago, the GAAP between as reported and constant currency ARR widened in Europe and narrowed in APAC. On a global basis in Q4, our constant currency ARR growth was 3% less than our reported ARR growth. Versus prior quarters, we saw improved demand in China and in our SMB reseller channel. All 3 regions benefited from inorganic growth to varying degrees due to the acquisition of ServiceMax.  Next, let's look at ARR performance of our product groups on Slide 7. In CAD, we delivered 10% ARR growth in Q4. Within these results, the growth magnitude was primarily driven by Creo but supplemented by strong percentage growth in Onshape. PTC is taking share in different parts of the CAD market with both products, and we're excited about the potential of our new Creo+ SaaS offering as well as Onshape. We launched Creo+ at LiveWorx event this past May, and the initial customer demand for Creo+ has been encouraging. Regarding Onshape, with NPS scores that lead the industry by a considerable margin and solid retention rates, we see good opportunities to take share in the part of the CAD market that Onshape focuses on.  Garmin's recent decision to replace their incumbent CAD system with Onshape speaks to the products maturing functionality and competitive differentiation. In PLM, our ARR growth rate in Q4 was 34% or 15% organic with the incremental inorganic growth coming from ServiceMax. ARR growth in Q4 was primarily driven by Windchill, but supplemented by strong organic growth in ALM, thanks to Codebeamer. Codebeamer has proven to be a great addition to our portfolio with strong demand coming from manufacturing companies that might already be profession at managing hardware development but are struggling to deal with a growing wave of software complexity.  While demand is most notable in the automotive industry due to the rise of software-defined vehicles, we see customer demand for ALM tools expanding in other verticals as well, driven by the trend towards software-driven products of all types. Not only do manufacture products contain more software than ever, but there has been an explosion of software configurations that need to be developed and maintained across a company's different product lines, including across model years, sales options and cloud deployments. That's why we supplemented our Codebeamer ALM solution with the acquisition of Pure Systems.  You probably know that on the hardware side of the manufactured product, configuration management has always been the special sauce of Windchill, now with the addition of the pure::variants solution, Codebeamer will be able to offer equally robust configuration management for the software side of the product. The Pure Systems company is relatively small, but their breakthrough pure::variants offering has already landed early wins at many of the same auto and industrial companies that are adopting Codebeamer. Introducing this key competitive differentiator and value proposition into Codebeamer makes our position in the ALM market even more promising.  We've been taking significant share in the PLM market and are well positioned going forward with our strength in core PLM with Windchill Arena, complemented by strong positions in the faster-growing ALM and SLM parts of the market.  Wrapping up my comments then. First, I'd like to say heartfelt thank you to all of you who have supported me and my team over the years. Your insights and support have helped us to transform PTC into the awesome company it is today, a $2 billion scale growth and profit leader with a unique product portfolio that helps our manufacturing customers digitally transform their businesses. I'm personally very proud of what the PTC team has accomplished during my 13 years as CEO and much longer tenure as the company's technology and strategy leader.  I feel things are in good position to transition the leadership to Neil Barua. Neil will be supported by the same team who drove our transformation, including Kristian, Mike DiTullio, Aaron Von Staats, Kevin Wrenn, Steve Dertien, Catherine Kniker and thousands of other PTC employees. I wish them all the best as they evolve the business in pursuit of new ways to create value for our customers and shareholders under Neil's leadership just as they did during mind.  I will remain in the background supporting Neil through February, but I plan to let him take the stage in investor discussions going forward.  With that, I'll hand the call over to Neil to share his perspectives on the CEO transition and the future of the PTC business. 
Neil Barua : Thanks, Jim. Hello, everyone. Let's turn to Slide 9. The CEO transition is progressing well and according to plan. I'm excited to soon step into the CEO role, and I appreciate everything Jim is doing to ensure a seamless transition. I spent much of the past quarter traveling with Jim to visit customers, employees and partners. These meetings have been good opportunities for me to listen and to build relationships with key stakeholders. These meetings have also reinforced how relevant our software is to our customers' digital transformation initiatives.  PTC has established a strong position with customers, and it is clear to me that there continues to be a lot of opportunity ahead. I'm also starting to meet with investors and analysts, and I'm looking forward to continuing and deepening the 2-way dialogue. To that end, I'm looking forward to callbacks with many of you as well as some investor roadshows upcoming and conferences. And we are working on nailing down a date for an Investor Day, likely in the spring after the CEO transition. More broadly, I've been immersing myself in all aspects of PTC's business. As one example, I work closely with our team on the win at Volkswagen Group that we announced yesterday.  This significant expansion of PTC's footprint at underscores the value PTC brings to customers and our customers rely on us to support their product development needs at scale. Our teams understand the digital transformation needs of our customers, and we have the right strategy and product portfolio to help them achieve their goals. There's no other company that can help manufacturers drive closed-loop product life cycle management across engineering, manufacturing, quality and service. PTC is in a very healthy position and I am energized by the business that has been built in a job ahead.  Next, let's turn to Slide 10.  On the Q3 call, we shared this framework, which shows the layers of cumulative drivers that support our top line growth. Fiscal '24 is expected to be our eighth consecutive year of double-digit constant currency ARR growth. So PTC's ability to put up consistent double-digit growth is well established. This is a good framework to understand the sustainability of our top line performance. I won't go through each of the drivers now, but the takeaway is that all the layers contribute to our growth. PTC is clearly moving in the right direction, and my focus as the new CEO will be on ensuring a disciplined and metrics-driven execution of the strategy.  Moving to Slide 11. We also shared this framework on our Q3 call, which shows the layers of cumulative drivers that support our bottom line growth. It's important to recognize that our strong free cash flow growth in recent years is attributable not only to our solid top line growth, but also to our subscription license business model and strong operational discipline. Focusing on operational execution is essential to consistently deliver for our customers and our shareholders. As with the previous slide, all the layers in this framework are important, and I see good opportunities to further expand our operating efficiency. I want to reiterate that with our subscription model and operational discipline, we expect our free cash flow to grow faster than our ARR over the midterm.  As we reinvest in our business to drive growth, we expect to do so prudently such that non-GAAP operating expenses are expected to grow at roughly half the rate of our ARR over time. Let's turn to Slide 12. Today, we are providing targets that reflect solid top line and bottom line growth over the medium term, which Kristian will take you through in more detail. As you will hear from Kristian, for fiscal '26, we are targeting ARR growth in the mid-teens and free cash flow of approximately $1 billion. If there is one takeaway from my comments today, it should be that I am singularly focused on leading PTC to execute to its full potential.  As the company's next CEO, I strongly believe that we have the right strategy, organization and product portfolio to drive consistent customer and shareholder value in the years ahead. Over to you, Kristian. 
Kristian Talvitie : Thanks, Neil, and hello, everyone. Starting off with Slide 14. In Q4 '23, our constant currency ARR was $1.941 billion, up 23% year-over-year and in line with our guidance range. On an organic constant currency basis, excluding ServiceMax, our ARR was $1.77 billion, up 13% year-over-year. In Q4, our as reported ARR was $38 million higher than our constant currency ARR. Also in Q4, ARR was impacted by $8 million due to start date timing. The key point is we contracted the overall amount of business that we guided to at the beginning of the quarter. At end year starts landed as expected, we would have been around the high end of our guidance range.  Now with approximately $20 million more deferred ARR in fiscal '24 -- starting in fiscal '24 compared to what started in fiscal '23, we're increasing our fiscal '24 guidance range to 11% to 14%.  Moving on to cash flow. Our results were solid and ahead of our guidance with Q4 operating cash flow of $50 million and free cash flow of $44 million. For the full year, our free cash flow was $587 million, up 41%. When assessing and forecasting our cash flow, it's always good to remember a few things.  The majority of our collections occur in the first half of our fiscal year and Q4 is our lowest cash flow generation quarter. And on an annual basis, free cash flow is primarily a function of ARR rather than revenue. Q4 revenue of $547 million increased $39 million or 8% year-over-year and was up 6% on a constant currency basis. For the full year, revenue was $2.097 billion, up 8% or 12% on a constant currency basis. As we've discussed previously, revenue is impacted by ASC 606, so we do not believe that revenue or EPS are the best indicators of our underlying business performance. But would rather guide you to ARR and free cash flow as the best metrics to understand our business and cash generation potential.  Moving to Slide 15. We ended the fourth quarter with cash and cash equivalents of $288 million. Our gross debt was $2.322 billion with an aggregate interest rate of 5.7%. During Q4, we paid down $43 million of debt and at the end of Q4, we had $1 billion in high-yield notes, a $500 million term loan and approximately $202 million drawn on our revolver. In October of '23, we made the final payment for the ServiceMax transaction totaling $650 million, including $30 million of imputed interest, which will be included in our Q1 '24 free cash flow. We funded this payment with cash on hand and our revolving credit facility. The deferred payment was also -- was included in debt on our Q4 balance sheet, and also factored into our debt-to-EBITDA ratio, which was 3x at the end of Q4.  Also in October, we drew an additional EUR 85 million on the revolver related to the Pure Systems acquisition. We expect to be below 3x levered at the end of Q1 '24 and remain below 3x throughout the remainder of fiscal '24. We're prioritizing paying down our debt in fiscal '24. We expect to use substantially all of our free cash flow to pay down our debt this year and end the year with gross debt of approximately $1.7 billion. We've paused our share repurchase program, and we expect our diluted share count to increase by approximately 1 million shares in fiscal '24. Heading into fiscal '25, we'll revisit the prioritization of debt repay down -- of debt pay down and share repurchases. Our long-term goal, assuming our debt-to-EBITDA ratio is below 3x remains to return approximately 50% and of our free cash flow to shareholders via share repurchases while also taking into consideration the interest rate environment and strategic opportunities.  Next, turning to Slide 16. Let's take a quick look at how we did against our initial guidance for the year. Summarizing our fiscal '23 financial results. In a challenging market environment, we executed well in all four quarters and consistently delivered solid top and bottom line growth.  With that, let me move on to fiscal '24 guidance. Turning to Slide 18. We provide ARR on both a constant currency basis and on an as reported basis. You can see on the slide how FX dynamics have resulted in differences between our constant currency ARR and as reported ARR over the past 8 quarters. Clearly, as reported ARR embeds a lot of FX volatility. We believe constant currency is the best way to evaluate the top line performance of our business because it removes FX fluctuations from the analysis positive or negative.  That's why we provide ARR guidance on a constant currency basis. For fiscal '23, we provided constant currency ARR guidance for the year and constant currency ARR results for all four quarters using FX rates as of September 30, 2022. For comparative purposes, we also provided constant currency ARR history at these FX rates.  Next, on Slide 19, we're taking the same approach for fiscal '24. Our as reported Q4 '23 ARR was $1.79 billion based on actual FX rates as of September 30, 2023. That rate is our baseline for our fiscal '24 constant currency ARR guidance. For comparative purposes, we've recast our constant currency ARR history at these rates which you can see on the upper half of this slide and is also in the data tables posted on our website.  With that, I'll take you through our guidance on Slide 20. For fiscal '24, we expect constant currency ARR to grow from $1.979 billion to $2.19 billion to $2.25 billion, which corresponds to growth of 11% to 14%. Our Q1 constant currency guidance range of $1.995 billion to $2.01 billion corresponds to year-over-year growth of 22% to 23%. Note that we closed the ServiceMax acquisition right at the start of Q2 '23, so Q1 will be the last quarter we exclude ServiceMax from our organic growth rate. On cash flows, we're guiding for free cash flow of approximately $725 million in fiscal '24. Note that our cash flow guidance is not on a constant currency basis, so FX fluctuations can have an impact in either direction.  For fiscal '24, our guidance for operating cash flow is $745 million. We're assuming CapEx of approximately $20 million. It's worth noting how consistent and solid our free cash flow results have been since completing our transition to a subscription business model. In addition, we maintain consistent billing practices, and we've optimized our AR, AP and budgeting processes over the past few years. The predictability of our cash generation is tremendously helpful as we manage our business and invest for growth. For example, we're able to maintain core long-term investments even in a turbulent macroeconomic environment, which is great for customers and employees alike.  Beyond our core investments, we adjust our shorter-term or more discretionary investments accordingly given our business performance and outlook. The net result is solid and consistent free cash flow growth. In fiscal '24, we expect approximately 55% or more of our free cash flow to be generated in the first half of the year, which is less than we've seen over the past 3 years. This is primarily because in Q1 of '24, our free cash flow of $180 million includes a $30 million imputed interest payment related to the deferred payment on our acquisition of ServiceMax.  Finally, on this slide, we're continuing to provide revenue and EPS guidance to help you with your models. But as a reminder, ASC 606 makes revenue difficult to predict in the short term for on-premise subscription companies. More importantly, revenue does not influence ARR or cash generation as we typically bill customers annually upfront regardless of contract term lengths. Also, since revenue is impacted by ASC 606, it's important to remember that margins and earnings per share also impacted, so we do not view these as meaningful indicators of the performance of our business.  Turning to Slide 21. Here, you can see how we're investing for growth while delivering solid free cash flow. On the slide in blue, you can see our absolute level of R&D spending, which has increased steadily over the years. But more importantly, you can see the slope of the blue line has inflected in recent years, along with our transition to a subscription model. As our free cash flows expanded, this has enabled us to reinvest greater amounts year after year into R&D to drive future growth despite the turbulent macro environment we've been in.  Moving on to Slide 22. Here's an illustrative constant currency ARR model for fiscal '24. You can see our results over the past 3 years and the column on the right illustrates what's needed to get to the midpoint of our constant currency ARR guidance for fiscal '24.  The illustrative model indicates that to hit $2.22 billion midpoint of our guidance range, we need to add $241 million of net ARR this year. While this is higher than the amounts we added in fiscal '23 and '22, there are some important drivers to consider. First of all, as we discussed earlier, we have more deferred ARR contractually committed to start in fiscal '24. In fact, that amount is approximately $20 million higher at the start of fiscal '24 compared to the start of fiscal '23. Secondly, we expect Codebeamer to be a tailwind for ARR growth in fiscal '24. While we currently expect Pure Systems to have de minimis impact on our ARR results in fiscal '24, given its overall size.  We do expect that Pure Systems will help drive our Codebeamer momentum. Also, fiscal '24 will be our first full year of having ServiceMax under our roof. The broader PTC Salesforce has been equipped to sell ServiceMax, and they also have quotas now. All things considered. We believe we've set our fiscal '24 constant currency ARR guidance range prudently.  Next, on Slide 23, here's a similar illustrative model for Q1. You can see our results over the past 8 quarters, and the column on the right illustrates what's needed to get to the midpoint of our constant currency ARR guidance.  Because our ARR trends tend to see some seasonality, the most relevant comparison is the sequential growth in Q1 '23 and Q1 '22. The illustrative model indicates that to hit the midpoint of our Q1 guidance range, we need to add $24 million of net ARR on a sequential basis. We believe we've set our Q1 constant currency guidance range prudently. It's also worth mentioning that the incremental $20 million of deferred ARR we have starting in fiscal '24 is skewed to the second half of the year.  Moving on to Slide 24. I know that most of you model free cash flow using the indirect method, which uses the P&L and balance sheet as a starting point. Given the complexities related to ASC 606, there are inherent challenges in using the indirect method to forecast free cash flow for PTC.  The model on this slide is based on what we use internally. I know that looking at it this way, may be unfamiliar to some of you, so please feel free to reach out if we can help. Starting at the top for fiscal '24 ARR, we're using the midpoint of our constant currency ARR guidance range. Next, our perpetual revenue is primarily related to our Kepware business, which is moving to subscription over time. And the primary reason our professional services is modeled to decline in fiscal '24 is because a portion of our professional services revenue is transitioning to DxP over time. These 3 line items get us to our expected cash generation for the year.  Moving down the model, you can see that even though we continue to reinvest in the business, we also see room to expand our operating efficiency due to our sticky products and subscription business model, combined with operational discipline. Continuing to move down the model, we provide guidance assumptions for stock comp, CapEx, interest payments. You can find these on Slide 29 of the earnings deck and also Pages 3 and 4 of the press release. Specifically, interest payments are expected to be approximately $135 million in fiscal '24, driven by an increase in debt, higher interest rates and the timing of our interest payments.  Next, cash taxes are modeled higher in fiscal '24, reflecting higher taxable income as well as the impact of Section 174. And finally, let's take a look at the other category. In fiscal '23, the $72 million is related to FX movements, pre-acquisition ServiceMax collections and working capital. For fiscal '24, the main driver of the $19 million being modeled is working capital to support continued growth. All this sums up to expected free cash flow of approximately $725 million. If the demand environment is such that we're trending to the lower end of the ARR guidance range, we'll be more judicious in incremental investment decisions if the demand environment is such that we're trending to the higher end of the ARR guidance range, we would feel more comfortable increasing investments.  We have a robust budgeting process internally and that helps us not only prioritize run rate spend but also prioritizes additional investments we might want to make. For example, even in a muted demand environment, we may want to increase R&D investments but it wouldn't necessarily make sense to increase sales and marketing spending.  So turning to Slide 25. For fiscal '25, we're reiterating our previous targets, and for fiscal '26, we're providing targets that extend the trajectory that we're on. We provide these targets to help you understand the potential of our business. But I also want to remind you that the macroeconomic environment, FX rates and interest rates have been volatile in recent years and could positively or negatively impact our midterm targets. It's also important to point out that global tax law changes are expected to have a significant impact on our midterm free cash flow, which we've factored into our midterm targets.  Next, on Slide 26, I'd like to explain the progression of our free cash flow, looking back 3 years and looking forward 3 years. Over the course of fiscal '21 to fiscal '23, we delivered a 40% 3-year free cash flow CAGR. Over that time period, we had solid ARR growth. And as expected, our non-GAAP OpEx growth was roughly 50% of our ARR growth. It was actually 46%. Looking forward, we're targeting FY '26 free cash flow of approximately $1 billion, which reflects a 3-year free cash flow CAGR of approximately 20%. This factors in a continuous of operational discipline, it also factors in a hefty step-up in cash taxes, particularly in fiscal '25 and '26 due to global tax law changes and the depletion of our deferred tax assets.  We're focused on paying down our debt and while interest payments will increase in fiscal '24, we expect them to decrease in both fiscal '25 and $26 million.  In summary, turning to Slide 27. First, we have a strong portfolio and strategy. We have a solid position in CAD with a long-term opportunity to disrupt this market with Onshape and Creo+. This year, we've expanded our category leadership in PLM which has become a technology backbone for digital transformation and industrial companies. The acquisitions of Codebeamer and Pure Systems significantly strengthens our ALM position, which is becoming increasingly important to our customers as their products add more software and complexity to their products. And the addition of ServiceMax further extends what was already a unique portfolio of interconnected digital thread capabilities across the full product life cycle.  Second, our strong execution. With organic growth at double-digit levels already, we're in the early days of a major on-premise to SaaS transformation driven by the evolving needs of our customers. but it's an oversimplification to focus only on SaaS as the one and only major driver of growth for PTC. The delivery model is important, but it all starts with our robust software portfolio that meets the needs of industrial product companies. We continue to benefit from cumulative layers of PTC specific growth drivers, including driving customer expansion through cross-selling our differentiated portfolio and PLM expanding beyond the engineering department and becoming an enterprise-wide system of record.  Fiscal '24 is forecasted to be our eighth consecutive year of double-digit constant currency ARR growth. Third, we have a well-earned reputation for driving margin expansion that goes back more than a decade. We've been demonstrating that we're judicious with our investments, being mindful of both long-term opportunities and near-term macro uncertainty. From a cost and operational perspective, we're lean and a continuous improvement mindset is part of PTC's culture.  Fourth, with organic ARR growth in the low teens, juxtaposed PMIs that are generally in the mid-40s, I trust you would agree we're actively demonstrating that our business model is very resilient. We're targeting solid top line ARR growth and bottom line free cash flow growth. And finally, we're led by a team that has deep expertise and a proven ability to drive growth and margin expansion. And while I personally will miss Jim, I'm also excited to have Neil join the team and help continue to drive and evolve PTC. For sure, the environment around us will continue to change, and we will continue to adapt accordingly while still pushing the envelope of what we can do for our customers.  With so many positive trends going our way, we continue to believe PTC has a tremendous opportunity to continue to create value for our customers and shareholders.  With that, I'll pass it back to Neil for a couple of closing comments. 
Neil Barua : Thank you, everyone, for joining us and for your -- for the time today. We're going to move to Q&A now, and then I'll give some closing remarks. 
Operator: [Operator Instructions] Your first question comes from the line of Daniel Jester with BMO Capital Markets. 
Kyle Aberasturi: This is Kyle Aberasturi on for Dan Jester. In the prepared remarks, you hinted at better-than-expected churn this year, which is great to hear, obviously, could you dig a bit further into this, maybe what is driving the strength? And how you guys are thinking about the retention into fiscal year 2024? 
Kristian Talvitie : Yes, sure. This is Kristian. So we've been on this journey really for a number of years now trying to drive programmatic change to help with the churn. And frankly, it's a few different things. One is we've been driving for longer term lengths, which has been helping. Two, we've had more commercial discipline particularly around price increase realization. Three, there has been a -- both market and product maturity have been improving in some of our segments that have higher churn such as IoT and AR. So those are some of the levers that we've been pulling on.  I think we're in a great spot as it stands. Candidly, I'd say I think there's even more room to continue to improve from here, albeit it will be at a more muted pace than it's been over the past 3 years or so. 
Operator: Next question comes from Ken Wong with Oppenheimer & Company. 
Ken Wong : This question is for Neil. So Neil, I think in the past, you had mentioned that you were very involved in the financial planning and obviously, plus the target out to fiscal '25. Perhaps there was some skepticism there, but with fiscal '26 introduced, I guess it's right to assume that you definitely put your stamp on that particular trajectory. Any specific nuances or refinements to the strategic road map that might have gone into that fiscal '26 number that you can perhaps share with us? 
Neil Barua : Yes. Ken, a few things, and I've got more to share, obviously, as the CEO transition comes to an end here in February, and we're planning on something at Investor Day for a more comprehensive update here. But couple of the themes that give me more confidence since the last time we spoke around the business and again, 90 days more of the transition. But around the PLM expansion capabilities is actually something that is very interesting, and some of the trends that we've seen this past year that I believe will continue. And the focus of the company on that is giving me confidence around supporting the guidance that we put out there for the multiple years that you indicated.  As well as this ALM strength. I think that is something that we've shown momentum, and we're building more momentum given some of the things that we're seeing in the marketplace with that product and solutions have now augmented by Pure as well. And lastly, on the SLM piece and the cross-sell opportunities, not only within SLM, but connecting back to we're advancing those beyond what we were doing 90 days ago. And now given the fact that ServiceMax is in the quotas of the sellers, we've created enablement I see also that area to be an area that we'll focus in on to keep building on the sustainable growth levers that we've been showing, but continue to show that trend into '25 and '26. 
Operator: We'll move to our next question. It's Jason Celino with KeyBanc. 
Jason Celino : Great. Kind of a follow-up on the Codebeamer strength, this momentum that we're seeing. And then with the Volvo deal, I don't know if any of us really knew what PTC was doing in ALM 2 or 3 years ago. So when I think about the Codebeamer pipeline and the ALM strength, how much of this is maybe from existing customers looking to upgrade existing legacy ALM products? Versus wins and displacements of other tools versus customers who may not even have an ALM product for, if that makes sense? 
Neil Barua : Yes. Let me take the front end of this. Thanks for the question. We indicated in a press release a large strategic relationship with Volkswagen across their entire enterprise where we are deploying code beamer to their enterprise users for all the use cases that we talked about. One of the themes that we're seeing is this is actually a tip of the spear and an enabler for getting into new logos, particularly in the automotive segment.  What we're seeing is that a displacement of other tools in the marketplace that now Codebeamer with its differentiated capabilities with also the element of the tieback to PLM within PTC is actually creating the momentum that we spoke about, that will continue to push on over the course of this year as well. 
Jim Heppelmann : Maybe I can add, Neil. Just if I could. In the fourth quarter, we actually did transactions with 5 auto OEMs. The big one with Volkswagen and then smaller, in some cases, foot-in-the-door type transactions with other global OEMs. And at least 3 of those, we have no meaningful CAD, PLM or ALM business with prior to this Codebeamer win. So I mean, certainly, we can upsell from the ALM position we had and sometimes from the PLM position. But what's really exciting is that we're knocking down big name new logos that we have no previous relationship with. 
Operator: It looks like our next question comes from Saket Kalia with Barclays Capital. 
Saket Kalia : Okay. Great. Nice to see the quarter and the guide in the new long-term framework. Neil, maybe for you a little bit of a higher-level question. I know that we've said that it's an oversimplification to focus on SaaS for PTC. But clearly, you come from a SaaS background with at least ServiceMax, if not your time before that as well, so maybe the question is, as you met customers intra-quarter, what do they think to you about taking PLM and CAD to the cloud? 
Neil Barua : Yes. Great question. So first off, there is continued interest in our SaaS offering, and it is an important layer of the cake that we mentioned in terms of the sustainable growth drivers. As a reminder, this is -- we expect an S-shaped adoption curve. We've also told you, and I agree with this is a decade-plus long journey. We continue on this journey into '24. And in regards to feedback from customers, we're seeing opportunities by which the roadmap, the ability for Windchill+, Creo+ for not only new logos by the way, but also conversions continues to be interesting.  That being said, one thing's important here in my upfront here that I mentioned, the overall growth drivers of our ARR has very little right now, and quite frankly, into '24 to do with SaaS. That being said, we are making sure the SaaS opportunities we've already secured, the pipeline that we're working on, we're working hand in hand with those customers to ensure we're optimizing the conversion experience of those customers.  Again, this will be a multiyear decade-plus long journey across the base of our existing customers plus those that were far new but is a key part of our focus. However, there are many other layers of the cake that are working extremely well right now that I'm going to help push the team even further to accelerate. 
Saket Kalia : Got it. Got it. That makes a lot of sense. Kristian, maybe for my follow-up for you. And apologies, I joined the call a little late. Great to see the continued double-digit growth in ARR continue into next year and beyond that. Maybe the question is can you just talk a little bit about your level of visibility here? I know we've talked about ramp deals in the past. And I think you mentioned something on deferred ARR. Maybe going one level deeper into sort of the level of visibility or comfort that you have as you look out to '24, which is clearly another sort of uncertain year of macro. 
Kristian Talvitie : Yes. I mean, again, I think we have a pretty good level of visibility. A lot of our contracts are multiyear contracts. So you don't -- they're not actually even coming up for renewal in fiscal '24. You have some portion that's coming up for renewal. But again, our retention rates at this point are already quite high. And then also, as you point out, we do have deferred ARR, we've had obviously deferred ARR for many years. But we have that, which also provides more incremental visibility. 
Operator: Our next question comes from Andrew Obin with BofA. 
Andrew Obin : Neil, Jim. Just a question on PLM and specifically Windchill. You guys have been very successful with growing the business. And I guess the question I have as your customers digitize their operation and there's this build-out of this digital value chain. What's the opportunity to monetize beyond sort of existing users, right, as more people touch the digital thread? What are the revenue opportunities? Are there sort of opportunities to sort of charge people for different services? If you could expand on that? 
Neil Barua : Yes. Let me take the front end and maybe Kristian and Jim could support here. As I mentioned, one of the drivers we've seen over many years right now is around Windchill's adoption within our customers. And what we've also seen is that expanding not only within engineering, but as you mentioned, it's now going to other groups that is tied closer to engineering, like supply chain, like quality as an example.  And as Kristian said, we're seeing this migration of Windchill becoming more of an enterprise-wide system of record, that will take some time, but we are seeing the trends moving towards that, particularly as we think about model base and the digital thread that is pushing on this lever. To be clear, some of the economic points that you're asking about revenue potential outside of the already strong sustainable growth that we've been showing in Windchill, we're working on more of a metrics-driven approach to that within ourselves internally to think about how do we sustain that over the periods over the next medium and long term, that will be an area that we'll explain more in detail as we get into the Investor Day, hopefully, in early spring. Jim, Kris, do you want to add? 
Jim Heppelmann : Maybe I would add that our rule of thumb has long been that when a customer first adopts an engineering and then expands to a broader enterprise deployment. There's generally 10x to 15x more users across the broader enterprise than there are in engineering. And so as companies digitize, they're basically saying, we need to have everybody in the enterprise logging into the system and getting real-time data as opposed to working with data that's been exported out of the system and passed on and maybe on a date may be wrong, et cetera, typically drawings and PDF files and so forth. So I think that there is a real opportunity. And yes, I think Neil is offering to quantify it a little bit more discretely at the Investor Day. 
Operator: Our next question comes from Steve Tusa with JPMorgan. 
Steve Tusa : Jim, congrats again. Great run for sure. Can you guys -- I think you guys said you would update us kind of annually on the SaaS trajectory? I think you had put out an illustrative model or at least like some sense of where you'd be as a percentage of ARR by year-end '23. Maybe if we could just get a little bit of color on how that turned out? 
Kristian Talvitie : Yes. I mean -- I think what we had said was we plan to be in the mid-20s in '23, and that's where we ended. 
Steve Tusa : Okay. Great. And then just a question on the long-term cash targets. You're kind of putting up some good numbers despite these other headwinds. I haven't gone back to the old model. But -- and anything incremental that moved around you on an operating basis because the numbers seem pretty strong despite the non-fundamental headwinds? 
Kristian Talvitie : I'm not 100% sure I'm understanding the question, Steve. Like -- no, there isn't -- when we talked about some of the puts and takes, meaning the interest payments are going to come down. Cash taxes are going to go up. But otherwise, it's really just operating the business. 
Operator: Thank you. Looks like our next question comes from Jay Vleeschhouwer with Griffin Securities. 
Jay Vleeschhouwer : One thing that PTC does that I think is important and does rather well, for instance, at LiveWorx, is you share in some detail your product road map for CAD, PLM and the other 3-letter acronyms. So with that in mind, for Jim and Neil, when you look into '24, what do you think are some of the principal product development or release executables that you're working on, whether it's developing Atlas further or new forms of packaging like DPM or anything else that you care to mention as far as the portfolio is concerned for '24? And then for Kristian, a question that's often come up in the past, which is about your our sales coverage, our customer account segmentation. Anything new that you've implemented for '24 in terms of channel programs, channel margins, anything of that kind out in the field that we should be aware of? 
Neil Barua : So Jay, thanks for the question. I'll start off and Jim could support here, too. On roadmap. First, on SLM, I'll take that since this was a question in the last call. We are working on a release in December that ties ServiceMax closer to Servigistics with a combined offering that we believe will have nice reception to the marketplace, as well as in the same release, a tie of ServiceMax to IoT for preventative maintenance use cases between the two capabilities.  In terms of the broader portfolio, Windchill+, Creo+, Kepware+, as I said, this remains a strategic relevant area that will continue to grow and emphasize and we've got a number of leases for all the plus strategies that we have in '24. That includes, by the way, things that we're doing with Atlas in support of our Plus strategy. And then third, in an order of priority, by the way, here, Codebeamer, right, the ALM to scale and continue to capture what we're seeing is strong demand and pipeline we're making sure that we're taking Pure and Codebeamer and working through how that looks to the customer as well as augments to Codebeamer in general to make sure that it's enterprise scalable in the regard that companies like Volkswagen are needing us to deliver for them on the end user experience piece.  Jim, anything to add? 
Jim Heppelmann : Well, just maybe to observe, listen, you talk here, you kind of called out projects that drive cross-selling is a top priority projects that drive SaaS is a second priority, not far behind. And then functionality, scalability, whatever of certain products, in particular, like Codebeamer, where we have a tiger by the tail and want to make sure we're being responsive to it. I think that would be a way I could characterize it, just reflecting on what you said. 
Kristian Talvitie : Jay, it's Kristian. So then to get the part 2 of your question. So yes, we actually have some incentives that we're rolling out to drive -- to help continue to drive growth in the channel as well as improved retention in that space. So there are some programs there, and that's also focusing on enabling them to obviously, they do a great job already at selling CAD, PLM. We want to enable them to cross-sell other parts of the portfolio better. And as we can see a focus on both on-prem and SaaS, particularly Windchill+, Creo+. And then on the direct side, I would say that is really just continued refinement of the territory coverage that we have. So that's where we are. 
Operator: Our next question comes from Blair Abernethy with Rosenblatt Securities. 
Blair Abernethy : Just Jim, I wonder if you can just expand a little more on the Windchill+ in terms of -- what have you seen there so far? I know it's only been a few months that you've been pushing that out there. But just wondering if you've got any sense at all as to what the revenue uplift might be there? And also, how are you positioning Windshield+ versus, say, Arena in the market? 
Jim Heppelmann : Yes. Kristian, do you want to address the what are we seeing in terms of uplift and then I can hit the differentiation versus Arena? 
Kristian Talvitie : Yes. So from an uplift -- so from an uplift perspective, we're continuing to see at this point better than what we have modeled or communicated, right, that kind of 2x uplift. I think we'll see as we continue to progress through this I still think that's the right way to think about the long-term opportunity, but that's what we're seeing now. 
Jim Heppelmann : And maybe I could add on the Windchill versus Arena positioning. So Windchill teams up with Creo and sometimes with other CAD systems to kind of enable this digital thread. So typically larger companies who have complex products, and they're more vertically integrated, so they're thinking how does this engineering data get used by manufacturing, get used again by service. And Windchill's orchestrating all that complexity up and down the value chain.  Arena on the other hand, is teamed up with Onshape in this agile product development and typically sold to smaller, fast-moving high-tech companies. Typically, companies have a lot of electronics, a lot of software and a tremendous amount of contract manufacturing. So it's a different problem that Arena is trying to solve and Arena excels at how does an engineering team in one company work with a contract manufacturing team in another or perhaps even other suppliers involved to orchestrate that.  It's much more -- Arena is much more focused on operations than on product configuration, much more well suited to a contract manufacturing type of setup that you see so frequently in the electronics industry, for example. So I'd say Arena is a little bit of a special purpose product that pairs very nicely with Onshape, sort of like a nice red line with a stake or something like that, and addresses this problem that a fair number of manufacturers have. 
Operator: Thank you. We will wrap up our Q&A session now, and I will turn the call back over to Neil for closing remarks. 
Neil Barua : Sure. Thank you, everyone, for joining us and for your questions today. Kris and I will be both on the road in the weeks ahead, participating in investor conferences. Kristian will be at the RBC Conference in New York in mid-November. Kristian also will be going to London in early December, and will be at the NASDAQ and Berenberg conferences. I'll be at the Barclays Conference in San Francisco in early December. We also have 2 bus stores coming to visit us at our Boston headquarters in early November. Those visits will be hosted by Kristian and Mike DiTullio, reach out please to BofA or Baird if you're interested. And on behalf of the team, thank you again, and we look forward to engaging with you. 
Operator: Thank you. Ladies and gentlemen, that concludes today's call. Thank you all for joining.